Operator: Good day, ladies and gentlemen, and welcome to the NewMarket Corporation Conference Call and Webcast to review Second Quarter 2021 Financial Results. [Operator Instructions] At this time, it is my pleasure to turn the floor over to your host, Brian Paliotti. Sir, the floor is yours.
Brian Paliotti: Thank you, Dagma. And thanks to everyone for joining me this afternoon. As a reminder, some of the statements made during this conference call may be forward-looking. Relevant factors that could cause actual results to differ materially from those forward-looking statements are contained in our earnings release and in our SEC filings, including our most recent Form 10-K. During this call, I may also discuss the non-GAAP financial measure included in our earnings release. The earnings release, which can be found on our website, includes a reconciliation of the non-GAAP financial measure to the comparable GAAP financial measure. We filed our 10-Q this morning. It contains significantly more details on the operations and performance of our company. Please take time to review it. I will also be referring to the data that was included in last night's earnings release. Net income was $52 million or $4.75 a share compared to net income of $22.3 million or $2.05 a share for the second quarter of last year. Petroleum additives net sales for the second quarter of 2021 were $586.6 million compared to $408.7 million for the same period in 2020. Petroleum additives operating profit for the quarter was $74.2 million, higher than the second quarter operating profit of last year of $33.1 million. The profit increase was due to higher shipments, lower conversion costs and favorable changes in selling price, partially offset by higher raw materials. Shipments increased 41.1% between the periods, driven by increases in all world regions and in both our lubricant additives and fuel additives business. Q2 shipments versus Q1 shipments were very strong, increasing by 3%. Petroleum additives operating margin for the second quarter of 2021 was 12.7%, significantly lower than our historical average. During periods of raw material increases, we typically experience a lag in recovery, which is reflected in our second quarter financials. Margin management will continue to be a priority for us in 2021. During the quarter, we funded capital expenditures of $24 million, paid dividends of $21 million as we continue to operate with very low leverage with net debt-to-EBITDA ending the quarter at one times. For 2021, we expect to see capital expenditures in the $75 million to $85 million range. We remain focused on the long-term success of our company, including emphasis on satisfying customer needs, generating solid operating results and promoting the greatest long-term value for our shareholders, customers and employees. We believe the fundamentals in how we run our business, a long-term view, safety and people-first culture, customer-focused solutions, technology-driven product offerings and a world-class supply chain will continue to be beneficial for all of our stakeholders. Thank you all for joining me on the call today. We appreciate your support, and we would like to say thank you to our employees, customers and shareholders for all that you do as we continue to see a bright future for our company. Dagma, that concludes our planned comments. We are available for questions via email or by phone. So please feel free to contact us directly. Again, thank you all, and we look forward to talking to you again next quarter.
Operator:
Q - :
 :
Operator: Thank you. This concludes today’s webcast. We thank you for your participation. You may disconnect your lines at this time and have a great day.